Operator: 
Marguerite Nader: Good morning, and thank you for joining us today. I am pleased to report the results for the first quarter of 2023. The quality of our cash flow and the strength of our balance sheet continues to allow us to report impressive results. Our core NOI exceeded our expectations in the quarter with 5.7% growth year-over-year. Our MH portfolio is 95% occupied. The MH business is unique in that once a high level of occupancy is achieved at a property, the occupancy is generally sustainable for a long time. The key to that stickiness is having an elevated level of homeowners in the portfolio. Our portfolio is 96% occupied by homeowners. Our new home sales over the last five years have contributed to building up this important benchmark.  Our homeowners are focused on improving their home sites, and we have seen a great effort by those impacted by storms to repair their homes and remain in the community. Over the last thirty years, we have built our organization focused on high-quality team members, property, cash flow and capital allocation. The result of this shared focus is sustained value for our residents, customers and shareholders. Our properties are well located in areas where the demographic trends create tailwinds for ELS. Our properties have shown strong demand even when considering weather-related disruptions. ELS will be the beneficiary of Florida's outsized population growth and heavy demand for seasonal accommodations.  We sold 176 new homes in the quarter at an average price of $104,000. While this is a decline from sales volume last year the volume remains at elevated numbers relative to our historical sales volume. We saw an increase in used home sales and are currently experiencing historically low levels of used home inventory. With respect to our RV business, our annual and seasonal segments, which represents the largest portion of our RV stream performed ahead of expectations in the quarter and we anticipate growth rates of 8.4% and 8.2% for the full year 2023. The full year guidance for our transient business is impacted by California storms and a reduced number of transient sites. Our customer surveys indicate that demand for RV camping remains strong with nine out of ten respondents from our database saying that they plan to camp the same or more than last year, driven by their desire to spend more time outdoors and because they recently invested in an RV and want to use it. 20% of our first-time transient guests from last year have booked a reservation in 2023 have increased their engagement as an annual, seasonal or member. This rate is consistent with the engagement we saw last year.  In the quarter, our Thousand Trails membership properties performed very well. We sold approximately 4,500 camping passes and initiated 5,700 RV dealer activations. These passes and activations are the seeds for future growth in the Thousand Trails portfolio.  When we last reported our results, we had not yet negotiated our insurance premium for the period beginning April 2023 and ending March 2024. We anticipated a tough renewal market. In the end, our overall insurance premiums increased 58%, which was higher than we anticipated by approximately $0.01 per share. The relationships that we have developed over the last thirty years with the carriers were helpful in allowing us to obtain the coverage for our MH, RV and Marina properties. Overall, the increase in expenses contributed to the 40 basis point adjustment to our anticipated core NOI growth, while still maintaining our initial normalized FFO per share guidance of $2.84.  We had a great snowbird season in the South and our teams will now begin to focus on welcoming our residents, members and guests to our northern locations as we kick off the summer season. I'd like to thank all of our team members for their hard work in making this winter season so successful. I will now turn it over to Paul to walk through the numbers in detail.
Paul Seavey: Thanks, Marguerite, and good morning, everyone. I will review our first quarter 2023 results and provide an overview of our second quarter and full year 2023 guidance.  First quarter normalized FFO was approximately $800,000 higher than the midpoint of our guidance range or $0.74 per share. Core portfolio revenues and expenses were favorable to our guidance mainly as a result of higher than anticipated membership upgrade sales revenues and lower than expected real estate tax expenses. These line items contributed to core portfolio NOI growth of 5.7% for the first quarter.  Core community base rental income increased 6.5% for the quarter compared to 2022, primarily as a result of noticed increases to in-place residents and market rent increases on resident turnover. We increased homeowners by thirty sites in the quarter. Our rental homes currently represent 3.9% of our MH occupancy. Our resorts and marina base rental income primarily generated by long-term revenue streams. On a full year basis, more than 80% of our resort base rent is from annual and seasonal stays and 99% of our marina rents are from annual customers. First quarter core resort and marina base rental income increased 5.5% compared to 2022. Rent growth from annuals in the first quarter was 8.4%, 8% from rate increases and 40 basis points from occupancy gains. First quarter rent from core RV seasonal increased 11.9%, compared to first quarter 2022. We continue to see strong demand for longer-term stays in our Sunbelt destination.  Core rent from transient customers decreased 14.9% for the quarter, mainly from lower occupancy. Across the portfolio, we have fewer sites available for transient stays. We experienced operating disruptions in our California portfolio as a result of the strong rains and heavy snowfall. For the first quarter, the net contribution from our membership business was $18.3 million. Subscription revenues increased 4.7%, which includes a rate increase of 5.2%. The increase in upgrade sales revenue was generated by sales of higher priced products compared to last year. Our average upgrade sales price increased almost 15%, the percentage of sales attributed to our adventure products representing almost 30% of our first quarter 2022 sales. Core utility and other income increased 9.4%, mainly as a result of increases in utility income. Our recovery percentage was 46%, compared to 45.5% in first quarter of 2022. First quarter core operating expenses increased 7.4% compared to the same period in 2022. The comparison to prior year is affected by approximately $2 million of repairs and maintenance this year following storm events, including rain, resulting flooding and heavy snowfall in California. Adjusted for this activity, overall expense growth was in line with CPI for the quarter. First quarter expenses were favorable to our guidance on lower real estate taxes and utility expense. The real estate tax expense favorability is the result of lower tax bills in certain states where we pay taxes in arrears. The actual bills received during the first quarter were lower than the amount we had accrued at the end of 2022. Core property operating revenues increased 6.4% compared to the midpoint of our guidance of 6%. Our core property operating expenses increased 7. [Indiscernible] compared to the midpoint of our guidance of 7.8%, resulting in growth in core NOI before property management of 5.7% compared to the midpoint of our guidance of 4.7%, a $1.8 million favorable variance.  Our non-core properties contributed $6 million in the quarter, in line with our expectations. Property management and corporate G&A were $31.1 million for the first quarter. Other income and expenses net, which includes our sales operations, joint venture income, as well as interest and other corporate income, $6 million for the quarter and interest and amortization expenses were $32.6 million. The press release and supplemental package provide an overview of 2023 second quarter and full year earnings guidance. As I provide some context for the information we've provided, keep in mind my remarks are intended to provide our current estimate of future results. All growth rates and revenue and expense projections represent midpoints in our guidance range and are qualified by the risk factors referenced in our press release and supplemental package. Our guidance for 2023 full year normalized FFO is $2.84 per share at the midpoint of our guidance range of $2.79 to $2.89. This is consistent with our previously provided guidance despite headwinds associated with our annual insurance renewal. The total impact of our April 1st renewal on 2023 is an increase to our budgeted expenses of approximately $2.6 million. I'll note that our budget included assumptions related to the split of insurance premiums between our core and non-core portfolios. The actual renewal resulted in a higher portion allocated to the core portfolio relative to our budget assumption. We project full year core property operating income growth of 5.1% at the midpoint of our range of 4.6% to 5.6%. Full year guidance assumes core base rent growth in the ranges of 6.3% to 7.3% for MH, 5.4% to 6.4% for RV and Marina. We assume occupancy in our stabilized MH portfolio will be flat to first quarter. Core property operating expenses are projected to increase 7.9% to 8.9%.  The primary drivers of the increase in core expense growth compared to our prior guidance are the insurance renewal I mentioned and utility expense. Our guidance model includes the impact of the acquisition we announced and the impact of the fixed rate swaps we disclosed in our earnings release and supplemental package. The full year guidance model makes no assumptions regarding other capital events for the use of free cash flow we expect to generate in 2023. Our second quarter guidance assumes normalized FFO per share in the range of $0.62 to $0.68. Core property operating income growth is projected to be 2.2% at the midpoint of our guidance range for the second quarter, which represents approximately 23% of our expected near core NOI. In our core portfolio, property operating revenues are projected to increase 5.8% and expenses are projected to increase 10.3%, both at the midpoint of the guidance range. I'll now provide some comments on the financing market and our balance sheet. As noted in the earnings release and supplemental package, we executed a fixed rate swap on our $200 million unsecured term loan maturing in 2027. The swap fixes the all-in borrowing cost at 4.88% through maturity. Fixing this rate reduces our floating rate exposure to approximately 7.5% of our outstanding debt and further derisks our very strong balance sheet.  Our debt maturity schedule shows that we have only 6% of our outstanding debt maturing over the next three years. This compares to an average of approximately 27%. I'll also remind you that approximately 20% of our outstanding secured debt is fully amortizing carries no refinancing risk.  Current secured debt terms vary depending on many factors, including lender, borrower sponsor, asset type and quality. Current ten year loans are quoted between 4.75% and 5.25%, 60% to 75% loan-to-value and 1.4 to 1.6x debt service coverage. We continue to see solid interest from life companies and GSEs to lend for terms 10 years and longer. High quality, age-qualified MH assets continue to command at the financing terms.  In terms of our liquidity position, we have $235 million available on our line of credit and our ATM program has $500 million of capacity. Our weighted average secured debt maturity is approximately 11 years. Our debt-to-adjusted EBITDA is around 5.2x and our interest coverage is 5.5x. We continue to place high importance on balance sheet flexibility and we believe we have multiple sources of capital available to us.  Now we would like to open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Brad Heffern from RBC Capital Markets.
Brad Heffern: Hey, good morning, everyone. Couple questions on the guidance. On the MH and RV growth rates, can you just talk about what is creating the upside for MH and the downside for RV?
Paul Seavey: In terms of the MH, Brad, when you say upside, I guess, as I think about our original budget, the guidance really hasn't changed. So we have an assumption that we have some incremental growth in rates during the course of the year and that's presenting itself as you see the guidance disclosure for the second quarter. On the RV, the adjustment primarily relates to our seasonal and transient assumptions for the second quarter. As we look at it, our current expectation for second quarter seasonal and transient is based on the current demand trends, which include a shorter booking window than we've seen in the past couple of years. We also attribute some of the reservation pacing that we're seeing the unfavorable weather pattern in locations that support our transient business in the shorter season as we shift from winter to summer business.
Brad Heffern: Okay. Got it. And then the non-core NOI guide went up by a decent amount. I think some of that is business interruption, but if you could confirm that, that would be great. And I think you also mentioned more insurance being allocated to core. But I guess, can you just walk through what the moving pieces are in that particular line item?
Paul Seavey: Yes, yes. So the insurance change is a pretty significant piece of that. It represents, I'd say, close to a third of that change. And then, I guess, I’d speak less to business interruption, I'd really focus more on the demand that we saw in the local market in Florida for the some of those non-core portfolios, just in terms of workers in the area as well as displaced residents that's driving some incremental revenue in that portfolio and then add to that, the acquisition that we executed in the quarter, those are the main drivers of that increase.
Brad Heffern: Okay. And just to be clear on the business interruption, I think there was a footnote talking about $4 million being in the non-core realized this last quarter. I guess, was that originally in the budget and so that's not affecting it?
Paul Seavey: The $4 million is the total that we collected across the portfolio core and non-core and it was in line. We had disclosed in our investor presentation, mid-quarter, we had disclosed an expectation of about $4.5 million of business interruption proceeds in the quarter and we received $4 million.
Brad Heffern: Okay. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Joshua Dennerlein from Bank of America Securities.
Joshua Dennerlein: Yes. Good morning, everyone. I just wanted to explore - I saw occupancy get I think 10 basis points year-over-year. Just kind of what's driving that? Is that just new sites delivered that just haven't been occupied yet or just something else?
Patrick Waite: Hey Josh, it's Patrick. The Q1 occupancy decreased by 79 sites. It's an increase of 30 owners and a decrease of 109 renters and just from a comp perspective year-over-year, Q1 2022 was up 38 sites, an increase of 191 owners and a decrease of 153 renters. There's a couple of factors driving that occupancy result for the quarter. One is a continued impact from Hurricane Ian. We took back 31 homes in the quarter.  And just as a reminder, we touched on this last earnings call. We had 107 homes come back to us by the previous quarter as a result of the Hurricane Ian. So that's, call it 140 to-date. We expect there may be in the neighborhood of 100, give or take, additional homes that may come back to us in coming quarters. But that was a driver of occupancy for the quarter. And the second that Marguerite mentioned new home sales that were down 33% year-over-year. So in addition to comping to a robust quarter Q1 2022, there is a couple of kind of inventory things take into consideration. One is the inventory levels at a few key selling locations for us were reduced. Part of that is selling out expansions at transient sections that we have in Arizona, as well as experiencing some delays in getting moves and freights and some more expansion opportunity in Arizona. The second is, several sales locations just had a decrease in volume. Those were a few key higher sales locations and then broadly across the portfolio, we usually experience 1, 2 or 3 new home sales at a significant number of properties and just based on cycling through inventory, there was a little bit less inventory at some of those smaller locations.
Joshua Dennerlein: Okay, Patrick, appreciate that. And then, maybe moving to that transient RV side, it was down year-over-year. I know you're lapping tough comps. But just curious if it’s also just – what else is kind of driving the transient RV revenues at this point for NOI?
Paul Seavey: Josh, as I mentioned, we had disruption in operations. So, the weather in California, in particular, was a significant impact to our transient business in the first quarter. And the key driver of what we saw year-over-year. Add to that, the change that we have in the site mix available for transient as we filled sites with seasonal opening.
Marguerite Nader: And I think, Josh, we've talked about this before, but we've operated RV parks over the last 60 quarters and when you're looking at the annual seasonal and transient results over that time, the transient piece has the most volatility by far. I think we reported negative or flat growth over a third of those quarters. And so we've seen periods of negative, flat outsized growth and that's why we're kind of always focusing our business on that annual rental stream.
Joshua Dennerlein: Okay, great color. Thanks guys. 
Marguerite Nader: Thanks, Josh.
Operator: Thank you. One moment for our next question. Our next question comes from the line of James Feldman from Wells Fargo.
James Feldman: Great. Thank you and good morning. Thanks for taking my question. I was hoping you could just provide more color on the insurance negotiations. I guess, just big picture, can you talk through – did you think about maybe changing the policy at all?  Any color you can provide on how your Florida exposure impacted pricing versus some of your other markets? I mean, clearly a hot topic. So just wondering as much color as you can provide on both for your portfolio and kind of commercial real estate in general, would be really helpful.
Marguerite Nader: Sure. Sure So, every year, we consider the appropriate balance between retaining and ensuring risk and taking into account cost and available coverage, that involves an analysis of the retention, the possibility to take on primary risk and utilizing a captive. We also have certain limitations and requirements in our lending agreements that factor into that analysis. And so, that kind of all goes into how we consider where we're going to end up. This year, we spent a lot of time with our carriers. We do as what we do every year. We go over to London to discuss our portfolio. And you saw the results we disclosed last night with respect to what the premiums are for this year.
James Feldman: Okay. Can you maybe talk to some of the pricing differentials either by state or by property type across the portfolio? And then, I know you also included – your insurance line item includes workers' comp, general liability, just how are all those trending?
Marguerite Nader: Sure. So we look at – when the carriers look at us, they look at us in total. So they don't – we don't break it out by region or by state. At the time we focus and we're negotiating our renewal, we're focused on all lines of insurance. In some years, we face a hard market in some more than others. This year, we saw the biggest increase in our property coverage, but we don't really disclose the lines – the results for each line item.
James Feldman: Okay. All right. That's very helpful. I know it's probably a tough question to answer, but like, if you look at the expense growth you're modeling for this year, you're expecting for this year. As you think about 2024, I mean, like is there a way to – do you think it could moderate – like do you think the growth rates could moderate just based on what you're seeing in the market across the different line items of your expense outlook? Or do you think we're just in kind of elevated growth rate for a long time here?
Marguerite Nader: I guess, I would just – just as it relates to insurance, I think I'd just like to say that we've certainly seen a softening of our insurance markets over our long history. I think it's important to kind of appreciate the recent claims, not just in our business, but what's happening globally is what's kind of driving those numbers. And maybe, Paul, you could touch on some of the other line items.
Paul Seavey: Yeah, I guess, what I would say with respect to the other line items is when you think about our greatest exposure, we've talked quite a bit about utility expense. We are seeing some indication of moderation in utility expenses. We note the natural gas pricing has come down somewhat. We did recently hear of one utility provider that is considering a future reduction in their electric rate.  That's the first that I've heard that in the past year. So there are some signals that maybe moderation is coming. I'll say that we've been tracking to the electric component inside of CPI. I think October, November peaked around 19% and the most recent CPI crippled down to about 10%, but not too far off of our total utility expense.  That's probably the key line item I would look to when you think about exposure for 2024.
James Feldman: Okay. That's very helpful. And then finally for me, I saw that you fixed the $200 million of debt. I'm just curious your view on how to play the interest rate markets here. I mean, when we talk to lenders and even borrowers, a lot of people are kind of banking on rates going lower you clearly took the other side of that trade. Part of that’s probably just conservatism, but as you think about debt maturities coming due and just how you're going to raise capital going forward. What are your views on how to react to where we are in the interest rate cycle and where rates might be heading?
Paul Seavey: Yeah, I mean, I think our view when we think about what we accomplished locking that interest rate at 4.88% was 130 basis points inside of our floating rate pricing. The loan amount represents only 6% of our outstanding debt. And as we looked at the options, we saw it as an attractive way to derisk, as I mentioned.  It's – I'm not a guy who is in the business of speculating on interest rates, and I certainly understand what the curve looks like. But at the same time, if rates do indeed follow the curve, which I think there's plenty that think that lower interest rates are not likely to happen given everything is happening in the economy. The breakeven point on our swap comes late '24 or early '25, so roughly halfway through the life. So we view it as an attractive opportunity at this point in time.
James Feldman: Okay. Great. Thank you very much. 
Marguerite Nader: Thank you, Jamie.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Samir Khanal from Evercore ISI.
Samir Khanal: Good morning, everyone. I guess, Paul, on this non-core income of about $6.1 million. I think the bulk of that came from utility and other income. Just – and then I think as part of that utility and other income, other income where BI is part of that – how much of that is sustainable going forward? Just want to make sure we get this right from a runrate perspective.
Marguerite Nader: Well, I think the piece on the business interruption insurance is sustainable and then it's replacing cash flow that we had anticipated to have and we anticipate to have next year. So it's just replacing cash flow that we missed from last year. If that – does that answer your question?
Samir Khanal: Yes. So that's part of the 5.9, I guess. Okay. Okay. So that's the other income. And then, in terms of maybe on the Marinas, I know it's a small portion of your business. But I guess how are you thinking about that segment in a downturn? And maybe how is that tracking versus expectations at this point?
Patrick Waite: Yes Samir, it's Patrick. I mean, demand has been good for the Marinas. Launches are up more percent year-over-year. That shows a high level of customer engagement. Our occupancy has been stable. So I think the top line of the business has been performing as we've learned it has been pretty stable. And that's the results of almost all of our customers being long-term annual customers. It's a very durable revenue stream. They're with us for a long period.
Samir Khanal: Okay. And then finally, on anything on the transaction side? I know you did that one transaction, one camp ground, what's the pricing on that? That's a small amount. And maybe just talk around kind of what you're seeing on the RV side, the MH and even Marinas from a movement perspective. Yes.
Marguerite Nader: Sure. So in the quarter, we did close on the one RV park that you mentioned in New Jersey. It was about $9 million, about a five cap. And the property is almost a 100% occupied with longstanding annual customers who spend the summer in the area. We have a lot of properties in and around that area. So it's a really nice property to be able to own and get some synergies from the properties that we own in that general area. I would say just in general, as in previous quarters, we've looked at all the deals, but the volume is base is down. Owners of MH, RV have generally been conservative with their financing. So we don't see any distressed selling. I think it takes a little bit more time for the acquisition market to return to the activity level that we previously have seen.
Samir Khanal: Okay. Thanks for that. Thank you. 
Marguerite Nader: Thanks, Samir. 
Operator: Thank you. One moment for our next question. Our next question comes from the line of Anthony Powell from Barclays.
Anthony Powell: Hi, good morning. Just a question on MH rent growth on turnover. I guess, how did that perform relative to your expectations for, I guess, new owners in your communities?
Patrick Waite: Well, it's been trending favorably. I mean, previous quarters, we're only around 10% or 11%. Our most recent experience is around 14%. And I think that shows consistent demand for the property type and it also shows that we have the opportunity to close that gap upon turnover.
Marguerite Nader: And I think, Anthony, the way that 14% kind of comes to be is looking at what's happening in and around our markets and coming up with what the appropriate market rent is for a new customer coming in and able to kind of set the table with what they would pay for the home and then what they would pay for rent and that's where we get that number.
Anthony Powell: Thanks. And maybe a related question, I think in the past couple of calls, you've talked about various inventory issues about – in terms of getting new homes available to sell. When do you think those will be I guess, fixed or I guess, rectified. So you can maybe accelerate some home sales here?
Patrick Waite: It's – I mean, just for perspective, when you're ordering homes, you're really dealing with individual plants and the general managers at those plants. So the place where we've seen pressures has been predominantly outlast, as I mentioned on a previous question getting some new homes into some MH expansions that we have in some flagship assets in Arizona, has been one point. There is a few others. Those are the really the higher volume properties for us. And then some of those pressures have subsided in a number of markets, now like throughout the Southeast as an example.
Anthony Powell: So I guess out west, is that something that could maybe subside later this year or is that kind of an ongoing issue?
Patrick Waite: Tough to say. I guess I – hopefully, it subsides. I don't think it will materially change our numbers. I mean, I think what you saw in the quarter is purely a timing component. Those homes for the most part, have been delivered. It was just a timing of taking advantage in the quarter versus in future periods. So, I don't think it's going to have a material impact from a long-term perspective. It just happened to come through in the quarter.
Marguerite Nader: And Anthony, the vast majority of our vacant sites are in Florida. So as Patrick was saying, there's been some increase in the availability of those homes. So, we should be seeing that run through the system.
Anthony Powell: All right. Thank you. 
Marguerite Nader: Thanks, Anthony. 
Operator: Thank you. One moment for our next question. Our next question comes from the line of Michael Goldsmith from UBS.
Michael Goldsmith: Good morning. Thanks a lot for taking my question. The first question is on the guidance, the implied same-store expense growth is now 7.9% to 8.9%, which means that expected expense moved higher by $6.3 million on my math.  So, what are the moving pieces there? I assume insurance is $2.6 million, as we talked about, R&M, maybe another piece in the $2 million range from the first quarter. So what are the other pieces there that kind of bridge that gap?
Paul Seavey: Yeah. No. The biggest piece is the insurance. But Michael, as I mentioned in my remarks, the budget assumption in terms of the split between core and non-core, potentially, that was overweight to the non-core. So now that we've actually completed the renewal and we've allocated the premiums between those two portfolios, it's closer to two-thirds of that change coming from the insurance. And then there is increase in utility expense that we built into our budget for the remainder of the year. Those are really the two main drivers of that total change.
Michael Goldsmith: Got it. And then, within your RV guidance, it seems like the implied seasonal transient guidance was taken down from 2% to 4% to zero to 2%. So, you talked a little bit about what you're seeing in the transient RV, but can you maybe talk about how much of a headwind the storms are? And is that a result of closures? Or is that a reflection of maybe slowing demand because of the impact of the storms?
Patrick Waite: I guess, let me start with – we do have two properties offline in California. We have a third that's partially offline and we anticipate that those properties will be coming online in future quarters. All of those properties are membership properties. So there is the stability in that revenue stream for our pockets of transient and rental as an example that have an impact on those specific properties. But I'd also just say more broadly and I think Paul touched on it in his comments, the storms - Coastal California, particularly Central and North, which also impacted the Pacific Northwest. That does have a dulling effect on transient demand as we move our way through the upcoming quarter and as Paul touched on, a shift from the Sunbelt season to the summer camping season in our Northern Campground.
Michael Goldsmith: Got it. And just one final one for me. The same-store NOI growth for the second quarter seems pretty low at 1.9% to 2.5%. And I think there is a little bit slower revenue growth and then also the expense growth is higher. So, what sort of seasonality factors are driving kind of this slower growth in the second quarter?
Paul Seavey: I think it's essentially what Patrick just talked about in terms of the development, the transient revenue expectation as we're shifting from the winter to the summer season. And then, as you know, we do have higher expense comp in the second quarter, largely driven by that insurance increase.
Michael Goldsmith: Got it. Thank you very much guys.
Marguerite Nader: Thanks, Michael.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Eric Wolfe from Citi.
Eric Wolfe: Hi. Thank you. Just wanted to follow up on Michael's question there on the transient season in the second quarter. I think you also said that the booking window was a little bit shorter than historical. Is that just from the weather or do you think there's other things going on there that's causing that?  And then just, I guess, as a follow-up to that, how do you know it's not going to sort of impact your third and fourth quarter results, as well?
Paul Seavey: I guess, I would point to a couple things, Eric. First, the weather, as I mentioned impacts people's decision. And I'm not sure how things were in New York, but it snowed yesterday in Chicago. So there aren't a lot of people who have yet been thinking about pulling out shorts when they're still having their winter coat to go to work in the morning. So I think that that is a function of people's decisions when they're thinking about indication, particularly for Memorial Day weekend, which is the prime weekend during the second quarter. And then, I also think the disruption that happened in California that had some impact. I think just the weather in general in the western part of the country has given people a little bit of pause in terms of making plans for vacations because of the uncertainties.
Marguerite Nader: And Eric, we're seeing this shorter booking window kind of across the industry as we talk to others in the industry and talk to some of our – the larger players in the industry to just show that that similar kind of impact to the shorter booking window. And then, as it relates to – we have a sense, certainly for the second quarter, but as you head into the third and fourth quarter, you just have less visibility.
Eric Wolfe: Right. And I guess, in the industry, what is – what are people's views about what's causing the shorter window, just change in nature of how people are traveling and working.
Marguerite Nader: Yes. Similar to what Paul just said. And I think that there's options people are looking at other options. And it's just – it's a booking window which is closer to what we saw kind of pre-pandemic. So it's not different than our long history, it's just different than what it's been in the last couple of years.
Eric Wolfe: Got it. And then just last question on expenses. Is there anything in the second quarter beyond obviously the insurance renewal, which is just to care of that could sort of really move the needle? Any utility rate increases that you're waiting on the property tax assessments. I'm just trying to understand, as we sit here three months from now, if there's anything that you're just going to point to that would have really changed your expectations for your full year guidance on expenses.
Paul Seavey: The change in the expectation for full year or for the second quarter? Sorry.
Eric Wolfe: So obviously, whatever happens in the second quarter will inform what happens for the rest of the year. So I guess what I am saying is, are there any sort of large property tax assessments that you're waiting on utility rate increases maybe from Florida? What's going to happen over the next three months that could really drive upside or downside to your full year forecast for expenses?
Paul Seavey: I think there is not anything that we're anticipating that's significant in terms of real estate taxes in the coming three months. The next large information that we'll have will be in July and then look for the – and with respect to utility expenses, as I said, we recently have heard of a utility provider that's talking about a future decrease in its electric rate. But most of the rates were implemented at the beginning of the year. And so we're not anticipating a meaningful change quite yet.
Eric Wolfe: Okay. Thank you. 
Operator: Thank you. One moment for our next question. Our next question comes from the line of John Pawlowski from Green Street.
John Pawlowski: Thanks for the time. I just have a few questions on operating cost and CapEx. And so, just the last few years when you've seen outsized both OpEx increases and CapEx increases across the portfolio. I would just be curious, when you're underwriting new acquisitions on MH relative to revenues, in those two business lines, do you underwrite a structurally different cost profile now moving forward in one or the other?
Marguerite Nader: No. On the MH and the RV, I think, it's consistent with what we've always had and consistent with our long history with those capital events.
John Pawlowski: And how about for – and just in terms of the, call it, three to five year trajectory of operating costs that you have to punch into pro forma for one versus the other.
Marguerite Nader: Yeah. We have – certainly, we looked at in and we just got our insurance number. So we'll dial that in and we have increased our overall OpEx into our pro formas just as what we're seeing that's happening in our business.
John Pawlowski: Okay. And then just so I understand the moving pieces in CapEx, because it has been – for you and your peers has been elevated the last few years. So the $135 million you spent in property upgrades and development last year. Can you give us a sense of what proportion is related to property upgrades? And is that a reasonable runrate moving forward?
Paul Seavey: Yeah, that amount, I'll just speak to last year. The upgrades were about $50 million. A little bit hard to talk about a runrate. Those upgrades represent enhancements to amenities at the properties and other investments that we typically tend to tie to incremental revenues. So they can relate to upgrading the electric service to RV sites, so that we could draw customers that are paying a higher rate for that higher service. It could be enhanced into a clubhouse in the context of discussions with the resident base and identification of opportunity in the market to adjust rents as a result of enhancing the club house. So there are different amounts that we spend.  We kind of analyze the opportunity to allocate capital each year and decide what amount we're going to spend on upgrade, a little bit hard to kind of signal the run rate. But last year, it was about $50 million.
John Pawlowski: Okay. Thanks. Last one for me. For the Marina business, on average, could you give us a sense how total CapEx as a percent of NOI for the Marina portfolio has trended in the last few years and if you expect a meaningful increase or decrease moving forward?
Patrick Waite: Yes, John, I’m Patrick, maybe I'll just touch on the typical Marina footprint for us. We have 7,000 slips in 23 locations, 70% of that is dry slips. So a typical property for us is building the houses boat wraps has a concrete floor. We have a boat launch area with a concrete road base and a seawall. So it's pretty straightforward. And it's been running in line with our expectations at about 15% of NOI.
John Pawlowski: Okay. And that's total CapEx?
Patrick Waite: Yes.
John Pawlowski: Okay. Thank you.
Marguerite Nader: Thanks, John. 
Operator: Thank you. One moment for our next question. Our next question comes from the line of John Kim from BMO Capital Markets.
John Kim: Thank you. On the insurance renewals, it seems like right now in this environment, you're going to be a price taker with Lloyd's just given they are the only major provider. But I was wondering if there is anything that you could do on your end to moderate that rate increase going forward, whether it's a different mix of assets or geographies or are there any like local competitors you could use that would help moderate that cost?
Marguerite Nader: I think the moderation of the cost will come in with the claims that happened this year. I think that's what I would look to that. So, I think that's certainly an important component. I think we do a very good job of seeking out competitive bids and this was a very difficult season and hope to be able to improve it in 2024.
John Kim: But right now, looking at local providers that would not end up being cost-effective for you?
Paul Seavey: I think there are some structural challenges with something like that, John, just in terms of overall claims management and resolution of the claims, and so forth. The blanket policy that we have with the larger providers like Lloyds has meaningful efficiencies that have significant value.
John Kim: Okay. And then, I just wanted to clarify your commentary on guidance being maintained. It seems like the business interruption proceeds were already in your original guidance and I thought that was really just to offset the lost income from the hurricane-impacted assets.  Yet, it seems to be one of the major reasons why you maintained guidance despite the higher insurance premiums. So can you just clarify what was exactly in guidance previously and if the $4 million, $4.5 million that you're expecting surprise to the upside?
Paul Seavey: You're talking about maintenance of guidance for the full year, right?
John Kim: Correct.
Paul Seavey: So we had an incremental $2.5 million in insurance proceeds beyond what we expected. And then, as I mentioned, we've seen local demand on the ground from displaced residents and workers that is driving the increase in the non-core in addition to the assets that we acquired. So those pieces essentially are offsetting each other to position us to maintain guidance.
John Kim: Okay. So the BI didn't really – wasn't a surprise relative to your expectations?
Paul Seavey: Yes. It's not so much about the BI. It's what we're seeing on the ground in Florida.
John Kim: Got it. Thank you. 
Marguerite Nader: Thanks, John. 
Operator: Thank you. One moment for our next question. Our next question comes from the line of Keegan Carl from Wolfe Research.
Keegan Carl: Yes. Thanks for the time guys. So first, your total [Indiscernible] was about 1% year-over-year in Q1. Just curious how it's trending so far in April?
Paul Seavey: We're essentially – we're essentially down somewhere around 5% so far in April.
Keegan Carl: And that's what you're using for your guidance. You're assuming for all of Q2, you're down 5% year-over-year?
Paul Seavey: Our overall – our guidance assumption, if you kind of walk through the footnotes for seasonal and transient in the second quarter on a combined basis, those are down a little over 5%.
Keegan Carl: Okay. And then, just on home sales, I know it's pretty topical. Just kind of curious, how has it trended so far year-to-date versus your own internal expectations? What's the reasonable baseline for the rest of the year? Do you think we need the housing market to sort of normalize to kind of get more demand? Or is it more on the supply side of things that's limiting your potential home sales?
Marguerite Nader: Yeah, I mean, I think, we've long talked about not focusing on home sales profit as a large piece of our overall business. And I think as we look to the rest of the year, there might be some moderation in home sales. I don't think – I think there will be moderation in expenses, as well. So the offset will be there. So as we look to opportunities where in some instances, we've filled – as Patrick walked through, we've filled developments. So we're not able to have home sales and developments that we filled and others where maybe there we're seeing those one or two home sales not happening at a particular property, I think we will be able to kind of make it up from a standpoint of expenses.
Keegan Carl: Okay. But it's a mixture of both supply and demand issues that would probably mitigate it?
Marguerite Nader: It varies - it kind of, it varies by area as to which is the impact.
Keegan Carl: Okay. Great. That’s it for me. Thanks guys. 
Marguerite Nader: Thank you very much. 
Operator: Thank you. Since we have no more questions on the line, at this time, I would like to turn it back over to Marguerite Nader for closing comments.
Marguerite Nader: We appreciate you taking the time with us this morning and we look forward to updating you on our second quarter call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.